Operator: Good day, ladies and gentlemen. Welcome to First Merchants Corporation First Quarter Earnings. Before we begin, management would like to remind you that today's call contains forward-looking statements with respect to the future performance and financial condition of First Merchants Corporation that involve risks and uncertainties. Further information is contained within the press release which we encourage you to review. Additionally, management may refer to non-GAAP measures which are intended to supplement but not substitute for the most directly comparable GAAP measures. The press release available on the website contains financial and other quantitative information to be discussed today as well as a reconciliation of GAAP to non-GAAP measures. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions would follow at that time.  As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mark Hardwick, Chief Executive Officer. Thank you. Please go ahead.
Mark Hardwick: Good morning and welcome to the First Merchants first quarter 2022 conference call. Blue , thanks for the introduction and for covering the forward-looking statement on Page 2. We released our earnings this morning at approximately 8 A.M. Eastern Standard Time. And hopefully, you have the slide presentation. If not, you can access the slides by following the link on the second page of the earnings release. On Page 3, you'll see today's presenters and our bios to include President, Mike Stewart, Chief Credit Officer, John Martin and Chief Financial Officer; Michele Kawiecki. Page 4 is a snapshot of the First Merchants geographic footprint and some relevant financial highlights for your review. Our Q1 return on assets of 1.26% and return on tangible common equity of 15% continue to be reflective of a high-performing and sustainable business model. Now, if you would turn to Slide 5. Net income totaled $48.6 million or $0.91 per share equaling the same total as Q1 of 2021. However, excluding PPP income, our Q1 2022 earnings per share totaled $0.88 compared to $0.78 from last year, an increase of nearly 13%. Loan growth, excluding PPP totaled 7.2% and deposit growth totaled 5.4% for the quarter. Our acquisition of Level One closed on April 1, 2022 and our system integration is planned for the third quarter of this year. Consistent with our vision statement of enhancing the financial wellness of the diverse communities we serve, we introduced a new tagline, helping you prosper. Our testing of various options resulted in this final version due to the primary emotion of curiosity that it sparked in our test audience. So we're excited to have rolled that out and to start using it consistently throughout the footprint. Now, Mike Stewart will provide some color on our lines of business and Level One before Michele and John review our financial and credit data.
Mike Stewart: Thank you, Mark and good morning to all. As you look at the next two slides, I'll provide an update on our line of business results and their contributions within the quarter, since our business strategy remains unchanged which is Page 6, how about we focus on Page 7 business highlights. So the top of that page offers a breakdown of the core loan growth by our business units. It was another solid quarter of active engagement with our clients and prospects that delivered the annualized growth rate of more than 7%, excluding the PPP loans. The growth rate was 8.5% over the past 12 months. Within that chart, you see the consumer portfolio contracted by 1% but has increased throughout the past year by 2.5%. The quarterly decline can be attributed to HELOC product with the increase in home values, coupled with first mortgage refinances, Fed repayments and reduced utilization. Our consumer clients, though, continue to have strong credit profiles and good liquidity. And as shown in the bottom chart, deposit balances grew in the quarter by 7% as we continue to gain accounts through both traditional banking centers and digital capabilities. At the end of March, the consumer loan pipeline is up 6% from the end of 2021 and up over 25% from a year ago. Back on the top of that chart, the mortgage portfolio grew near a 20% annualized rate. The drivers of this increase come from continued strength in construction and purchase volumes with more of our clients choosing our on-balance sheet variable rate pricing options given the rise in the 10-year treasury and the result in rise in fixed rate alternatives. Michele is going to review the noninterest income detail, where you will see the mortgage gain on sale was at a low point as overall mortgage originations are down. The pipeline for our mortgage team ended the quarter modestly higher than the end of December and slightly down from the prior year. Purchase and rehab volumes are nearly 60% of the current pipeline which is up 30% from a year ago, reinforcing that macro slowdown in refinance volumes. Our total non-PPP commercial loan portfolio grew at 6% annualized rate within the quarter. As noted in those bullet points down below that chart, the C&I growth rate was 10% on an annualized rate. The total commercial growth was muted by refinancings within our investment real estate segment. Investor real estate footings have been choppy the past four quarters based on the current historically low cap rates and liquidity in the secondary market. Our real estate clients are taking advantage of these values and monetizing projects for their liquidity or taking the project to the secondary market to lock in those long-term fixed rates. Our team continues to deliver new project financing and with construction draws picking up pace during the spring and summer, growth in this segment is expected for the balance of the year. The C&I segment remains the growth engine in this quarter and for the past four quarters for that matter. The primary drivers in this segment continue to be our team and our markets. Like I've mentioned before, our commercial team is actively engaged in winning new clients, taking market share, along with providing additional senior debt and treasury services to our existing clients across all the geographic markets you see represented on the map. Within those geographies, businesses are expanding plant and equipment to meet growing demand. We have continued to see capital plans for new equipment and expanded manufacturing sites to meet their growth plans or to onshore more of their production capabilities. Another driver of the C&I loan growth is the increased revolver commitments and utilization rates. Both are growing to support the working capital associated with the increasing sales and inventory levels. During the quarter, revolver commitments increased over $125 million to new and existing clients and the utilization rates of the revolvers move closer to 45%. This compares to line utilization of 38% in the first quarter of 2021 which was the idea  of the past four years. Revolver commitments have increased nearly $600 million over the past four quarters. So overall businesses have deployed their PPP liquidity and therefore, their line usage and deposit levels are moving back towards normal levels. The quarterly decline in deposit which is noted on the bottom of the chart, decline yet the total commercial deposits over the prior year continues to increase. Last, for the Commercial Industrial segment, succession planning events within the ownership of middle market companies continue to be a driver for our sponsor finance teams or through dividend recaps and ESOP transactions. We have expertise with all these strategic capital events. The economic and business climate across those markets is very good. We continue to see the resiliency in the management teams of companies we serve. They have solid business plans. They have solid balance sheets, they are well positioned for growth and they can continue to effectively navigate supply chain and labor issues. Our teams remain poised to respond to their capital needs and the commercial pipeline remains stable from prior quarters and should be a harbinger for continued C&I loan growth. Overall, the map you see on the top left portion of the page also represents the demographic of a growing economic environment. It's the heart of the Midwest, that drives our continued growth and offers a stable source of talent to lead our business efforts across all of our lines of business. As Mark said earlier, I want to make a few comments about our new Level One teammates and the markets they serve across Southeast Michigan and Grand Rapids. I continue to spend time in their market with their teams and with their clients. I really get energized each time I go there, I was there last week. They have a strong culture and a demonstrated track record of winning. Terri Cable has moved to Farmington Hills to lead the integration efforts and build on the synergies between the Level One franchise and our existing Michigan franchise in Monroe. Terri is an accomplished executive who most recently led our Fort Wayne team post our IAB acquisition five years ago when she joined First Merchants from Chicago. Greg Wernette who led Level One's commercial banking effort will continue his leadership role as Region President of that geography and work directly with Terri. I have witnessed Greg and his commercial bankers in action, again, meeting with their clients and prospective clients and they are an impressive group. They're like many of First Merchants commercial team. They're smart, they're active, they're engaged. They want to win. They are connected in their communities and they're truly ready to leverage the larger balance sheet offered by our partnership. Their commercial loan business grew over 7% the past quarter and they have a healthy pipeline heading into the second. The Level One mortgage team is building early synergies with the legacy FMB mortgage team. So if you remember, Level One's mortgage results were of similar size to First Merchants. Tim Mackay is now fully engaged as President of First Merchants Mortgage, the combined team. Tim served as Level One's President and offers the stability to the Level One mortgage team and brings the enhanced processes and platforms to the First Merchants team. Tim is off to a great start. The consumer team is eager to gain access to the enhanced product sets currently offered by First Merchants and are making headway towards the August integration event. Renee Marino will continue as the market leader of the 17 banking centers. She is well respected with their current Level One team and within the First Merchants consumer leadership teams. Renee is also off to a great start. So the collective organizations, we've got a lot of work to do between now and integration. But that said, we have a stable core of banking professionals leading our daily efforts and are poised to continue winning in Southeast Michigan. So with that, I'll turn it over to Michele, who can provide you with a more complete review of our quarter results. And John can share the soundness of our portfolio.
Michele Kawiecki: Thank you, Mike. Good morning, everybody. My comments will begin on Slide 8, covering first quarter results. We are pleased to report another quarter of strong balance sheet growth which you can see on lines 1 through 5. Deposit growth returned to a more normalized growth level, as you can see on line 4, once we get past the forgiveness of the remaining PPP loans which had a period end balance of $49 million, liquidity management should normalize as well, where we are funding loan growth with our deposit growth and cash flow roll off from our investment portfolio. Reported earnings per share for the quarter on line 23 was $0.91 which was the same EPS in the first quarter of 2021. As Mark mentioned, excluding the income from PPP loans, earnings per share this quarter was $0.88 and $0.78 in Q1 of 2021 which is EPS growth of 13% year-over-year. EPS in the prior quarter which was fourth quarter of 2021, without PPP fee income was $0.84, so we had $0.04 of core earnings growth just over prior quarter. You will see on Line 17 that net income totaled $48.6 million, an increase of $800,000 from prior quarter despite declines of $1.7 million in PPP fee income which also demonstrates our strong operating leverage. Like many of our peers, we experienced a decline in the tangible common equity ratio which you can see on Line 6 and the tangible book value per share on Line 24 of $1.95 or 7.7% during the quarter due to changes in unrealized gain loss on available-for-sale securities which takes me to my next slide, Slide 9 which shows our investment portfolio highlights. On the bottom right, you can see we did shift to an unrealized loss on the mark-to-market of the available-for-sale securities portfolio of $101.3 million. For comparison, last quarter, we had a gain of $75.9 million. We designate half of our investment portfolio as held to maturity to provide quite a bit -- which provided quite a bit of capital protection from this mark-to-market adjustment. We mostly tend to hold our bonds to maturity, only selling select securities and we think there's an advantage to be gained. So we don't expect to realize what are currently unrealized losses in our income statement in the near future. The top right graph shows the trend in the portfolio yield. The yield on the portfolio increased 4 basis points during the quarter and the purchase yield on new securities is approximately 3.5%. Slide 10 contains highlights of our loan portfolio. In the bottom left corner, you will see the stated first quarter loan yield declined 14 basis points from last quarter to 3.73%. Excluding the impact of PPP loans, loan yield was 3.64%, a decline of only 6 basis points compared to prior quarter which was driven by the consumer portfolio. Yield on new and renewed loans increased from 3.14% last quarter to 3.22% this quarter, an increase of 8 basis points. On the bottom right, you will see $6.4 billion of loans or 68% of our portfolio are variable rate. As of quarter end, we had active loan floors on 24% of the total loan portfolio, so about $2 billion in loans and nearly all of those will grow out of those loan floors with the next 50 basis point increase which we expect in May. The asset sensitivity of our balance sheet will create meaningful increase in net interest income given the forward curve. Slide 11 shows the details related to our allowance for credit losses on loans. On the bottom of the slide is a roll forward of our allowance balance. During the quarter, we had charge-offs of $500,000 and recoveries of $1.1 million which on a net basis, increased the allowance balance modestly and we did not book any provision expense this quarter. Therefore, the ending allowance for credit losses on loans was $196 million. The coverage ratio trend is shown in the graph on the top left. Our coverage ratio at the end of Q1 is 2.09%, down from 2.11% from prior quarter. Excluding PPP loans, the coverage ratio is 2.10%, down from 2.14% last quarter. So our coverage ratio continues trending down as our portfolio grows. Now, I will move to Slide 12. Although total deposits increased $173 million during the quarter, total interest expense on deposits continued to decline and was down $1.3 million compared to prior quarter. On the bottom left, you will see our company's cost of deposits declined from 18 basis points to 13 basis points, mainly due to the repricing of a large deposit in January. Slide 13 shows the trending of our net interest margin. Line 1 shows net interest income on a fully tax equivalent basis of $108 million. When you back out noncore interest income items such as fair value accretion, shown on Line 2 and the impact of PPP loans shown on Line 3, our core net interest income totaled $105.1 million which is shown on Line 4. Compared to the prior quarter total of $101.7 million, the increase in core net interest income was $3.4 million. State and net interest margin on Line 7 totaled 3.03% for the quarter. Adjusted for fair value accretion and the impact of PPP loans brings us to core net interest margin of 2.97% which is shown on line 10, an increase of 5 basis points from last quarter's core NIM of 2.92%. We actually had NIM growth of 9 basis points but it was offset by a reduction of 4 basis points from a lower day count during the quarter. So last quarter Q4, we hit our margin bottom and we saw a great increase this quarter and we'll see meaningful increases each quarter going forward, driven by the Fed rate increases. On Slide 14, noninterest income totaled $25.9 million for the quarter, with total customer-related fees of $23 million which was consistent with last quarter. Although there were two meaningful variances to note in the mix of revenue sources, mortgage banking revenue declined compared to last quarter due to lower origination volume. Offsetting that was an increase in card payment income. During the quarter, we recorded annual card volume incentives of $2 million. Card swipes in the first quarter of the calendar year are always a bit lower than the fourth quarter due to seasonality but tend to pick up in the second quarter. Moving to Slide 15. Total expenses for the quarter totaled $72.3 million which was $100,000 less than Q4 expenses. Although expenses were well managed this quarter, we do expect quarterly expense levels to trend a bit higher than this quarter, primarily due to increases in salaries and benefits and we will also incur transaction costs from our Level One acquisition in the second quarter. Slide 16 shows the strength of our capital ratios. Tangible common equity ratio at the top of the page declined to 8.31% this quarter which is a bit below our internal target as a result of the mark-to-market unrealized loss flowing through accumulated other comprehensive income and equity that I mentioned in my earlier comments. Given we had $196 million in the allowance for credit losses which adds to our balance sheet safety and soundness, we feel comfortable with the current level of TCE. Regulatory capital ratios on the bottom of the page which excludes the impact of unrealized gain loss on investments continue to remain at very strong levels and above our targets. Overall, our financial results reflect strong fundamentals for the quarter and we are very pleased. That concludes my remarks and I will now turn it over to our Chief Credit Officer, John Martin, to discuss asset quality.
John Martin: Thanks, Michele and good morning. My remarks start on Slide 17, where I'll highlight the loan portfolio, including segmentation, growth and industry concentrations, provide a bridge for the PPP loan program and finish with a review of asset quality and the nonperforming asset quality roll forward before ending with a fewer high-level comments about the current environment. So then turning to Slide 17. The loan portfolio consists of a diversified commercially oriented portfolio with concentrations consistent with those segments of the economy pound in our geographies. I'll provide loan growth bridges for both the -- I've provided loan growth bridges for both the quarter and year-over-year on the right side of the slide. In the quarter, when excluding the $58 million of PPP paydowns, the loan portfolio grew $165 million or 7.2% annualized. We've experienced broad growth in commercial and industrial loans, including our sponsor finance business, construction lending, public finance and the residential mortgage portfolio, where there's been increased demand in portfolio jumbo mortgages for the reasons Stew had indicated earlier. The PPP program is winding down with $49 million remaining. Of those, roughly $4 million were in active repayment at the end of the quarter, leaving roughly $45 million to process for forgiveness or other ISP  repaid. Given the timing of the applications that our historical experience with borrower forgiveness, we continue to expect that the remaining PPP loans will be substantially forgiven or converted to principal and interest payments this quarter with the trailing forgiveness applications through the end of the year and beyond. So turning to Slide 18; this slide highlights our asset quality trends and position. We continue to have a favorable asset quality profile with nonaccrual loans on Line 1, down slightly. Other real estate increased $5.8 million as we completed the foreclosure of a performing multifamily project. The project had become entangled in litigation and leans and continue to perform until foreclosure was complete and the property moved to ORE. The property is being positioned for sale and based on recent appraisals, loss is not expected. This left NPAs in 90 days past due to loans and ORE at 55 basis points, dropping down to classified loans on Line 7 or loans with a well-defined weakness, we continue to see a decline this quarter, down $20 million and ending the quarter at 1.09% of loans. This is the fourth consecutive quarterly decline in classified loans with credit quality improving across the wide spectrum of loan types, including senior housing, manufacturing, agricultural and residential investment real estate. Rounding out the slide, charge-off and recovery activity resulted in a net recovery on Line 9 of $600,000. We will look at the components on the following slide. Turning to Slide 19 then, I provided the nonperforming asset roll forward which reconciles the changes in NPAs. On Line 2, we added $4.4 million in new nonaccrual credits in the quarter. The largest was associated with a $2.9 million C&I borrower and included the related owner-occupied real estate. On Line 3, we resolved $4.3 million in nonaccruals. The largest new nonaccrual was a $1.4 million loan to a real estate developer. And then on Line 5, gross charge-offs were $500,000 and were more than offset by $1.1 million in recoveries. And finally, on Line 7, we added the $5.8 million property I just mentioned a moment ago. So in summary, our asset quality position is strong, exude strength and remains stable. Our commercial borrowers are deploying their liquidity and drawing down further their lines of credit as they navigate through a challenging and operating environment, including the ongoing effects of supply chain issues, labor and hiring challenges and higher commodity and other costs. None of these challenges are unique to First Merchants or its customers but I believe our asset quality and allowance position us well to work through individual issues and situations as they may arise. Thanks for your attention and I'll turn the call back over to you, Mark.
Mark Hardwick: Great. Thanks, team. On Slides 20, 21 and 22, we just show the trend lines of a number of key items. I'm not going to spend really any time on those I think we covered them pretty thoroughly last quarter. But I would just say, I feel like we are we're really off to a great start in 2022. You heard all the comments from Mike Stewart and John, we have great loan growth. Michele highlighted the margin expansion and continued expense management as well as just the stability of our capital and our credit levels. And then on top of all of that, it's just this exciting new acceleration of our balance sheet that we expect to come from Michigan in the Southeast Michigan market in Level One. Mike Stewart did a nice job of mentioning a handful of individuals that are helping drive our performance in that marketplace. And I would just also just add administratively, they have a team of individuals like Eva Scurlock, who is our Chief Risk Officer or is with their Chief Risk Officer, that it's just working hand in hand with our teams. David Walker helping us get to the finish line as it relates to the integration. Pat Fehring has just been outstanding through this process and it's an exciting time here at First Merchants. So hopefully, you can hear from the tone and the attitude of everyone in this room, just the level of optimism that exists around the performance of First Merchants into the future. So with that, I think I'll stop and open it up for questions.
Operator:  Your first question comes from the line of Scott Siefers from Piper Sandler. Your line is open.
Ignacio Gonzalez: Good morning. This is Ignacio Gonzalez on for Scott Siefers today. My first question is with underlying loan growth potential and the mix between commercial and consumer, where are your current commercial utilization rates?
Mark Hardwick: Yes. Our current utilization rate -- I got it here. Yes, currently, we're sitting at about 45%, as Stew mentioned earlier, up from  at Q1 of '21 of around 37%. So it's trending from the, I'll call it, trough at that point up to pre-pandemic levels. And the consumer HELOCs which is a much smaller level of balances that sits around the upper 30s, right now.
Ignacio Gonzalez: And then just hopping to my second question here. How many rate hikes do you assume we will get this year? And if you could also refresh our memory, how much would you expect NII on the NIM to expand for each 25 basis points in Fed rate hikes? And how does your assumptions change between the first few hikes in the next several...
Michele Kawiecki: Yes. So when we did our modeling, we assumed that there is a 100 basis point rate hike in Q2, so 250 basis point hikes and then a 50 basis point hike in Q3 and -- another 50 basis point increase in Q4. So a total of $200 million left into 2022. So that was our assumption at the time. And so just looking at net interest income for the year, our model is telling us that net interest income will grow 8% from last year. just on rate hikes alone. So that's not assuming any growth -- and so to kind of give you some color around what that looks like quarter-to-quarter. When we look at our margin, as I had mentioned, we've got some loan floors that we're going to be growing out of in the second quarter. And so the margin expansion in the second quarter will be a bit more modest, maybe 2 basis points. But then when we get into the third and fourth quarter, we expect our margin to expand each quarter more around the likes of 7 basis points to 9 basis points. Does that give you some color?
Ignacio Gonzalez: Yes. And then just my final question here. Looking at expenses, is $73 million a quarter is still the right number? And what kind of leverage do you have as pressure increases or if the overall revenue environment does not pan out as expected?
Michele Kawiecki: Yes, I would say it would probably be $73 million to $74 million per quarter. It's going to trend a little bit up because of increases in salaries. But we think that really with the growth that we have, particularly with Level One coming in as well that we're going to have great operating leverage and we're prepared to manage the expense levels if need be.
Ignacio Gonzalez: All right, thank you very much for the color. That’s all, the questions I have now.
Operator: Your next question comes from the line of Daniel Tamayo from Raymond James. Your line is open.
Daniel Tamayo: So just a quick follow-up on the margin, Michele. Does that guidance include any kind of increase in accretion relative to the deal? And what would that be? What are you factoring in there?
Michele Kawiecki: Yes, it does not include any accretion from the deal. So that's really excluding growth and accretion. And so the accretion on our deal is going to -- we're actually -- we refined our loan marks. And so the accretion that we had at announcement is actually going to be a bit higher than what we had an announcement. And so actually, the accretion will help our earnings per share accretion. And we think that actually the accretion from the deal in 2022 will probably be accretive by $0.12.
Daniel Tamayo: And then maybe putting together the loan growth guidance that you gave on commercial work sounds like expecting something similar with the pipeline stable and then consumer perhaps a little bit better given the pipeline being up from year-end and a year ago. Is it fair to assume that the roughly 7% organic growth that you achieved in the first quarter is kind of a floor for what you're looking for going forward or how are you feeling about kind of the total portfolio growth, I guess, excluding Level One and then if you wanted to bake in with Level One would look like as well?
Mike Stewart: It's Mike Stewart here, Daniel. I do think that our consistent mid-single digit -- high mid-single-digit loan growth is the -- where we're really shooting for the pipelines that you referenced do feel stable and good. We're still getting our arms around the quantification of actual pipelines that sit up there in Southeast Michigan but that been said, I get to see the volumes that go through that. So I feel good about where the Level One team is already producing. And the consumer portfolio in the pipeline, that's -- it's a really small book of business, right? Our consumer per book of business is $0.5 billion when you compare it to the commercial pipeline of our outstandings which closer to that $5 billion. So it's a bigger relative growth we get from our commercial teams.
Mark Hardwick: Daniel, C&I is $5 billion, yes. Right. Right. Daniel, just going back to the margin for a minute. I -- Michele did a nice job of explaining where we stand and obviously, it's a little different than last call. We have a little higher interest rate assumption than we did a quarter ago, quite a bit higher actually. And then we also have kind of reassessed the -- our deposit beta is moving away from what was traditionally the formalized model from the past to where we think we are today. So as she was sharing some of the growth expectations, they're clearly higher than what we talked about last quarter. And then as it relates to loan growth, I think mid-to-high single digits is always kind of our -- where we're comfortable, 6%, 7%, 8%, 9% -- and we're -- I would say we're enthusiastic that Level One can help us achieve the higher end of that range. So I don't know whether I call 7% of floor but we're pretty confident in our ability to consistently deliver year after year, mid-to-high single-digit growth rate.
Daniel Tamayo: Okay, great. Thanks for that. And then finally, just would love to get your thoughts on -- you gave the new securities yields are certainly higher than what you've got in the portfolio. Does that change your thoughts on how quickly you're willing to put your remaining excess liquidity to work in terms of specifically on the securities book or not?
Mark Hardwick: I feel like we've been putting our liquidity to work consistently throughout this entire cycle and we'll continue to do that. We're thrilled that we're getting a little higher yield with that excess liquidity as well as runoff.
Daniel Tamayo: Hey good morning, everyone.
Operator: Your next question comes from the line of Damon DelMonte from KBW.
Damon DelMonte: Hope you are doing well today. So first question, I just wanted to circle back on the expenses. Michele, I think you said the core expense base should be in the $73 million to $74 million range. Do you have like a pro forma combined company expectations with Level One getting folded into the mix?
Michele Kawiecki: Well, Level One's expense run rate was generally $15 million per quarter and we had modeled 30% cost savings which we believe is achievable. And so our system integration is scheduled through the end of the third quarter. So fourth quarter of 2022 will be the first quarter where you should be able to see that expense savings. And so if we're running about 74-ish million stand-alone and then add in another 11 or so for Level One, that would give you your run rate post integration.
Damon DelMonte: Okay. So do you expect to have much in the way of savings here in the second quarter or is it all going to really come in the fourth?
Michele Kawiecki: Yes. We don't think -- we think it's all going to come in the fourth.
Damon DelMonte: And then when you kind of combine the two balance sheets and you look at like your earning asset base, do you have a kind of a pro forma range for what the average earning assets would look like next quarter?
Michele Kawiecki: I don't have a pro forma earning asset.
Mark Hardwick: Yes. They have $1.6 billion in loans. And I guess, the real question is how much of the excess liquidity we've pushed through the bond portfolio.
Michele Kawiecki: We're still working through the process of looking to picking, kind of, picking through their bonds and figuring out what we'll retain, what we might sell, keeping cash, that sort of thing. And so I don't have a final number on that at the moment.
Damon DelMonte: And then on the fee income side, I think, Michele, you noted there was like a $2 million annual bonus payment, the card payment fees. Is that correct?
Michele Kawiecki: Right. Yes, that's correct.
Damon DelMonte: So if we kind of take that out of the -- well, if you take that as well as the gain on sale of securities out, that puts you around a $23.3 million for the first quarter. How do you kind of see that trending as we go through the year? What kind of growth could you get off of that?
Michele Kawiecki: Yes. I mean I think that our current level of noninterest income this quarter is a good run rate for the year. But we always experience card payment income that's a little bit seasonally lower in Q1 but we also think that we'll have some good growth with wealth management fees, loan level hedges and so forth. So I think our current level is a good run rate to use.
Mark Hardwick: Mortgage is seasonally low in Q1 and the card income helps offset that.
Damon DelMonte: Got it. Okay, that’s all that I had for now. Thank you very much.
Michele Kawiecki: You’re welcome.
Mark Hardwick: Thank you.
Operator: Your next question comes from the line of Daniel Thomas from Stephens, Inc. Your line is open.
Daniel Thomas: Thank you. Good morning, everyone. I am on the line for Terry McEvoy today. My first question I was curious what you guys are expecting for deposit growth throughout the year?
Michele Kawiecki: We're expecting our normalized deposit growth level of about 3% to 4%.
Daniel Thomas: And I guess building off of the rate hike commentary, I appreciate all the info you guys gave on loan floors and asset sensitivity. So kind of building off of that and my previous question, what are you guys thinking for deposit betas this time around through the cycle?
Michele Kawiecki: Yes. And Mark had mentioned our models and how we had taken a fresh look at them. Historically, if we use our historic betas our -- from our deposit studies, our betas would normally have been about 30% in the first up 100 and then about 40% up 200. But given that there's so much liquidity in the system now, we really look at how we think deposit rates will perform competitively. We think that the deposit betas in the up 100 will be more in the teens, like maybe 15% to 18% and maybe more around 20%, up to 200. And whether we're on or whether it's a little bit higher or lower, we'll find out once we see how competition reacts and the rates actually come to fruition.
Daniel Thomas: And I guess my final question, you guys gave a lot of great color about the Southeast Michigan market, Level One. It sounds like some really exciting stuff there. So I guess along those same lines, can you guys talk to kind of what activity you're seeing there, what areas of activity or maybe what areas of opportunity that excites you guys the most? Thanks.
Mike Stewart: Yes. Mike Stewart here again. It really sits front and center with the commercial opportunities. Think about the density of businesses there, the relative size that Level One was in their limited ability to continue to move up market, if you will or grow with their existing businesses. So they were kind of capped at their whole level. And I've got to witness firsthand, those clients want to continue to be a part of the Level One infrastructure that the people and are excited to be thinking that they can grow with the First Merchants. They've got an active group of bankers, great pedigree. There's a lot of market disruption that you might know about from the past several integrations that have happened there with other organizations, larger in particular; it's been a good source of talent. And then, something I didn't talk about is Level One doesn't have a private wealth group at all. So our private wealth capabilities is also something that really excites the Level One bankers to be able to offer additional products and services around their relationships, both from a commercial point of view and then how we run through investment management capabilities through the consumer network. So those are the primary excitement points that sit up there.
Daniel Thomas: Perfect, that’s great. I appreciate all the color, and that's it for my questions. So thanks for answering my questions, guys.
Operator: Your next question comes from the line of Brian Martin from Janney.
Brian Martin: Hey, good morning guys. Thanks. My question on deposit betas was just asked. But just, I guess, secondarily, just the -- Michele, the variable rate loans, I guess, first merchants and Level One, what's the total variable rate loans? Maybe I missed it, I think you gave a percentage of the as a percentage given but what is that and how much of it moves immediately with rates?
Mark Hardwick: Yes, a little more slightly less than ours but we haven't -- I don't know that we have that model pulled together. A few more fixed rate assets on their loan book than we do but we can get that number to you, Brian. I don't...
Michele Kawiecki: Yes. I will say their asset sensitivity is really close to our level of asset sensitivity. And so I think when you think about how margin will trend, I don't foresee adding Level One into that trend, that impacting that significantly from ours.
Mark Hardwick: Yes, they were more leveraged than we were. And instead of having some of the fixed rate assets in the bond portfolio, they had a few more in the loan portfolio. But from an asset sensitivity perspective, very similar to us.
Brian Martin: Okay. So the comments, Michele, you made earlier was about kind of legacy First Merchants rather than the combined company on those on your expectations for the rate hikes but the sensitivity is close so it should be a net pretty similar to what you articulated.
Michele Kawiecki: Yes, that's correct.
Brian Martin: And then just on the capital front. I guess, can you talk about -- I mean you said you were a little bit less than you expected on your target but that you had obviously protected the capital with the held-to-maturity -- just kind of how you're thinking about capital deployment here and I guess, the potential of share repurchases, just organic growth and then the transaction?
Mark Hardwick: Yes. We are not actively repurchasing shares in the market. We want to get to the close, see exactly where capital levels land. Some of this -- the noise around the AOCI adds to that assessment. But we have incredibly strong capital and allowance numbers. And our expectation is to get through this integration, report our next quarter numbers and then provide a little more clarity as to what's next. We do have some sub debt that is callable next year and we're reassessing the hybrid instruments that we have on our balance sheet just to make sure we have the optimal capital stack. But I think we're in a really an incredibly strong position from a tangible common equity standpoint at a level, I really like it produces a higher return on tangible common equity than what we've had in the past. And we kind of suggested that, that was going to be one of the priorities going forward about a year ago.
Brian Martin: Okay. And maybe just the last one for John. Just John, with some talk about some concerns with potential recession or whatnot as you get into '23, may can you talk about it, just give any thought on just where would you expect the stress -- I guess, when you're looking at the stress and the potential in the loan portfolio, I guess, as you kind of monitor that?
John Martin: Yes. It's interesting, Brian. When I think about potential downside within the portfolio, interest rates are going to impact our borrowers. But we stress and we underwrite so there should be room there. But that's one place. Then you think about higher commodity prices and input costs for anybody who's manufacturing, you're going to see that higher wages or we can start to see running through income statements. So those are the kinds of things. And it's really if it unfolds at a rate that our borrowers can adjust and raise prices then it will mute some of the effect of it but that's where I see it; it's just kind of early on. So we'll see how it kind of all plays out. I think my comment about the allowance gives me and should give others confidence that we've certainly factored it in. And our classified levels are to lower â€“ former -- history of the company. So right, we're in a great position. But that's not your question. Your question is, where would you see it? And that for me is are those points.
Brian Martin: Yes. No, I agree. Guys, you’re in a great spot. So congrats on a nice quarter. And thank you for taking the questions.
Mark Hardwick: Thanks, Brian.
Operator: There are no further questions at this time. I would now like to turn the conference back to Mark Hardwick, Chief Executive Officer.
Mark Hardwick: Thank you, Blue . Thanks, everyone, for attending. We appreciate your investment in First Merchants, your continued interest. And as we've said in the past, we're available for shareholder comments consistent with the color that's already been provided. But I look forward to talking to you next quarter. Thank you.
Operator: This concludes today's conference call. Thank you for participating and have a wonderful day. You may all disconnect.